Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Burning Rock's 2020 the Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers presentation, there we will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. Before we begin, I'd like to remind you that this conference call contains forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934 as amended, and as defined in the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements can be identified by terminology such as will, expect, anticipate, future, intents, plans, believes, estimate, target, confident, and similar statements. Statements that are not historical facts, including statements about Burning Rock to beliefs and expectations are forward-looking statements. Such statements are based upon management's current expectations and current market and operating conditions, and related to events that involve known or unknown risks, uncertainties and other factors, all of which are difficult to predict and many of which are beyond Burning Rock's control. Forward-looking statements involve risk, uncertainties and other factors that could cause actual results to differ materially from those contained in any such statements. Burning Rock does not undertake any obligation to update any forward-looking statement as a result of new information, future events or otherwise, except as required under applicable law. And now, I'd like to hand the conference over to the management team of Burning Rock. Thank you. Please go ahead.
Leo Li: Good morning, and good evening, everybody. This is Leo, Chief Financial Officer of Burning Rock. I have today with me our Founder and CEO, Yusheng. I have our Chief Operating Officer, Shannon and myself; the three of us will be presenting and answering your questions today. So, I'd like to pass on to our Founder and CEO, Yusheng, please.
Yusheng Han: Good evening, ladies and gentlemen. This is Yusheng Han, Founder and CEO of Burning Rock. Welcome to our First Earnings Call today. We are delighted to be listed in NASDAQ in June this year and broaden our shareholder base to include many experts in industry across both Asia and US. We actually celebrated our IPO by having an evening of social events, followed by three full days of Management Discussion and Planning sessions, we do have much to do in our two business areas, which are therapy selection and early detection. We started therapy selection when we were founded in 2014 and now we have become the market leader in terms of R&D, market share and registration. And we provide -- we provide high quality products which I think that Shannon might mention later on for the SEQC2 study, initiated by the US FDA. We have -- I mean US FDA has a comparison among Burning Rock and the other top peers in the world and our performance was quite good. And we are also strong in registration. The first NGS kit for oncology, I mean we got it approved in 2018 and we know a lot about the situation in China. And also we have a strong sales channel covering over 600 hospitals in China. And in terms of the business model for therapy selection, there are two models, the first one is Central Lab, which are similar to what Foundation Medicine and Guardant Health are doing in U.S., I mean they collect the samples from the prescription, from the doctors and are doing -- and do the lab in our Central Lab. And the other model is in-hospital model which does -- we sell the whole NGS platform into the hospital and continuously to sell the reagents and consumables to the hospital and they do the test at their own site. And this is quite unique if you want to compare it with the US situation because most of the hospitals, top hospitals in China want to have their own platform. And we were quite successful in that model and it grows faster than the Central Lab model and also in the hospital model which takes around 80% market share. But four years ago, we realized that the combination of NGS, machine learning and Epigenomics probably far more beyond the therapy selection. We can combine them to lead to early detection for pan-cancer. So we started our R&D efforts on early detection four years ago using the technologies I mentioned above. And in the last four years, we have already accumulated 8,000 samples in different type of cancers. The promising results were obtained, gave us strong confidence. So in May this year, we started the PREDICT trial, is a single trial called PREDICT. This is our pan-cancer prospective trial that will test 14,000 patients in the coming three years, well, we are looking forward to that. So, this is generally what we are doing. I'm going to pass it to our COO, Shannon Chuai, to talk about more in detail. Shannon?
Shaokun Chuai: Yes, hi. Thank you, Yusheng. This is Shannon, the Chief Operating Officer of Burning Rock. It's my pleasure to walk you through some of the key progresses that we have made during the second quarter. So we listed on our recent progresses on page five. So, in terms of the therapy selection business, the first and foremost is that we have continued to publish a lot of our research collaborations with our key doctors, collaborators and pharmaceutical company collaborators in China and these publications represent strong validation of our product and also the adoption and endorsement from our collaborators. These include a few studies including the BENEFIT study, the Blood-based Microsatellite Instability validation study and also our liquid-based real-world validation COMPASS study, all of these were published in the second quarter recently and all of them are validated on our liquid-biopsy product LungPlasma. And in addition, we have also published quite a few clinical validation or massive lung-based studies and in our other products including tissue based testing on multiple cancer types, so extending from our key business in lung cancer into other cancer types as well, including the breast cancer, lymphoma and colon cancer etcetera. And then the second thing we wanted to mention is in terms of the registration efforts in the second quarter, we formed a formal collaboration deal with Illumina on sequencing, I'm sorry, the NextSeq 550Dx sequencer. So this is -- the aim of this collaboration is to develop Burning Rock's IVD kits on the sequencer. So this paves the way of registering more panels Burning Rock in China for the NMPA. And also just to remind you, this is on our former collaboration with Illumina on very smaller sequencer the MiSeq Dx, which led to the first NMPA approval, NGS panel in China which happened in 2018. So we believe this collaboration on this larger sequencer will continue, our leadership in the registration situation in China. And then in terms of our collaboration with the pharmaceutical companies, we are very happy to announce that we have had a companion diagnostic on co-development deal with CStone for their RET inhibitor. So, this will be one of the first CDx type of the collaboration in China, meaning the NGS test goes together for approval with the corresponding job. And then in terms of our early detection R&D effort, we have progressed the training and validation from our free cancer type test into a 6-cancer type test. So in this progress or expansion, we not only expanded the cancer type that we can cover on early detection accuracy, but also more importantly we have embedded the tissue of origin analysis, or tissue of origin analysis efforts -- capabilities within this early detection assay. So, we are currently working on validation of the 6-cancer type assay. And then we have also as Yusheng mentioned, we have also launched 14,000 patients study called PREDICT. This will ultimately help us to develop and validate our ultimate form of early detection assay which will cover at least 9-cancer types. So on page six, just to refresh your memory, we listed our roadmap for developing early detection product here again. So we have actually finished the first two assays here [ph] which are the proof-of-concept study for both single cancer type early detection and 3-cancer type early detection. For the single cancer type, we already have the methodology paper, the manuscript submitted for publication and it's under review and we expect it to come out in a few months. And then for 3-cancer type proof-of-concept study, we have recently presented that result in the AACR Special Conference in January early this year. This one covers lung, colorectal and liver cancer. And then as I mentioned, we are now expanding into this 6-cancer type test and we expect the readout of this test covering both the accuracy and the tissue of origin analysis accuracy. This result will -- we think we will release it -- we will be able to release it in the fourth quarter next year in some conference and we also listed the 6-cancer types that are being covered in this new assay here. And then eventually through PREDICT, we will be able to validate ultimate early cancer -- early detection product, which will cover at least 9-cancer type. And then on page 7, well, this is firstly the near-term catalysts that we are expecting. First, as Yusheng already mentioned, this SEQC-2 study initiated by FDA is a study that we think is a very rare and precious opportunity for Burning Rock to be able to be compared head-to-head or apple-to-apple with quite a few US assay developers. And this SEQC-2 study has two different parts, including the tissue-based comparison and liquid-based comparison. Those parts have been summarized and submitted for publication through manuscripts. So they are being submitted as two separate manuscripts, each to a very top-notch journal. And we are expecting that those publications will be able to come out and further strengthen the endorsement, bringing us technology capability. And then in terms of the laboratory, we are still expecting two approval for the kits in 2021, one is on the BRCA kit, the other one is a 3-cancer, multiple gene [indiscernible], and both of them we expect to be approved next year. And then in terms of an MRD product development, we wanted to mention briefly that we have a study called MEDO [ph] study that we launched two years ago, and we expect the readout for the baseline results for MEDO [ph] to be released later -- sometime later this year in the second half of the year. And then in terms of the early detection, as I mentioned before the technology paper or the methodology paper has been submitted for some time and is under review, should come out soon. And then the 6-cancer type test, we expect to release the validation results on both early detection, accuracy and tissue of origin analysis on the first quarter next year. And then for the PREDICT, we are still under the same timeline that we have already originally planned. So we expect to have the phase-1 model [ph] lock-in for 9-cancer type in 2021 -- by the end of 2021. And then we expect to start the -- to release the readouts from Phase 1 and start Phase II enrollment sometime in 2022. So those are the near-term catalysts that we are expecting. So, Leo -- I then turn to Leo for our operating metrics and financials -- key financials. Leo?
Leo Li: Sure. Thanks, Shannon. First of all, I'd like to cover our top line and I think under the unprecedented COVID environment would like to be more granular than what we would typically be. So I'll first go through our trends in more detail on a monthly basis and to recap China's COVID outbreak, started towards the end of January and that led to a nationwide lockdown during Chinese New Year, extending into February. So the month of February was our low point. We were down 50% on a year-over-year basis. Going into March, we started to see sequential improvement on a week-over-week basis. And for the month of April, we closed that month at around RMB35 million revenue, up 30% on a year-over-year basis and I'm speaking of round numbers here. May, we had an unexpected dip, which we disclosed in the IPO perspective. We did RMB30 million and we were flat on a year-over-year basis. June, we saw -- resumed year-over-year growth. We did RMB40 million in revenue and the growth rate was higher than the month of April. And for the month of July, we had a similar run rate in terms of dollar value compared to June. So that's what we're seeing at the moment and the run rate we did for July were not back to the full run rate that we achieved or we saw in the first three weeks of January prior to COVID. So that was still our high point in terms of run rate for the year. By the region -- by region-wise, Eastern China has been strong, Northern China has been weak and we had a few top centers in Northern China and more so in hospital channel compared to the central lab channel. So Northern China has had an impact for us. Then breaking down our revenues into channels. First, I'd like to talk about the in-hospital channel. We grew this quarter 69% year-over-year, high double digits and we continue to make new progress in terms of converting hospitals into contracted hospitals. And by the way, it is only with the contracted hospitals that we book revenues. So we were able to add three more contracted hospitals during the second quarter, extending the progress that we made back in January, which we added two. So for the first half of the year, we've been able to add five more hospitals into the contracted status. And these are contributing towards our high double-digit revenue growth for the in-hospital channel because in the base last year, we did not have those hospitals. And for hospitals that we already contracted prior to 2019, they showed actually divergent trends, Eastern China grew strong during the second quarter, but Northern China has been weak. Next, I will talk about our central lab channel. We have had stable ASP for the second quarter. First quarter this year was an outlier in terms of revenue and also cost base, but we did not see those trends in any major way for the second quarter, so second quarter was more normalized for that and we grew volume 20% for the second quarter of this year for the central lab channel and the top line growth rate was at 18%, so very similar to the volume growth that we did. Next, talking about our GP margins. The margins have been largely stable and the details are in the earnings announcement, in terms of breakdown by channel and also the qualitative description of trends. Then moving onto OpEx, we actually are largely stable in terms of our OpEx base compared to the first quarter, with the difference being that we had an additional share-based compensation related to our R&D team in the second quarter, so that led to the biggest challenge in terms of OpEx expenses for the second quarter compared to the first quarter and the details of our OpEx trends are available in our earnings announcements. Next, I'd like to move on to our guidance and to recap again, the trends that we disclosed in our IPO prospectus quantitatively for April and qualitatively for May did dip. So we actually made two observation, one is that we are able to see share gain by Burning Rock us growing slightly stronger compared to the broader markets according to our own market survey data. The second is that the rebound or the recovery out of COVID from what we observed is not a straight line, but it has been verbally and we saw that in May, so we like to call that out. I think both points are still valid in the current environment as we head into August. And translating and given where China is on the COVID trajectory, i.e. China had a very tight lockdown during the outbreak periods and a relatively small case number before reopening and quarantine requirements for cross border traffic movement. Our base case is that China will come out of COVID overtime and it is in this context that we are providing our guidance. We should point out that there are risks of a return of COVID in China, we're not factoring those probabilities into our numbers and the guidance does not factor into accounts a return of COVID in China. So with all those context in mind, our full-year top line revenue guidance is RMB420 million and this implies RMB246 million for the second half of the year, which implies a 28% year-over-year growth rate compared to the second half of last year. And if we look at this in terms of the monthly run rate, this would imply RMB41 million revenue monthly run rate for the second half of the year, which is higher than the second quarter monthly average run rate, but similar to the run rate that we're doing in July. So that's the context of our guidance. And now I'd like to call-out lastly the lumpiness of our in-hospital channel revenues. When we think about our second half-year guidance and particularly around third quarter backing to 2019, in-hospital channel -- our revenues are more concentrated in terms of number of customers. It's more lumpy in this channel in terms of the revenue spread across hospitals. So we do have an impact when we have very large centers that are signed on, which happened for the third quarter last year. So we had lumpy revenues in the third quarter last year, but relatively light revenue for the fourth quarter due to timing differences on the revenue and COGS bookings. We're not expecting any lumpiness on that scale for the second half of this year. So the trend should be smoother and easier to digest for the remainder of this year, but when we are making third quarter year-over-year comparisons, we'd like to call this out and probably more representative to look at our year-over-year growth trends comparing to the second half average of last year. So that concludes our prepared remarks and we are open for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Doug Schenkel from Cowen. Please ask your question.
Doug Schenkel: Hey, good evening and good morning to everyone on the line and congrats to the team on your first earnings call. So, I want to talk about three things. One is the PREDICT study, just a couple of follow-ups there. Two is, just on commercial trends in the central lab and then just a clarification on guidance. So first on PREDICT, I'll start there. It's good to hear a bit more about the 14,000 patient 9-cancer test prediction, I'm sorry, PREDICT study. You positioned this as a training validation study in your deck. I'm just wondering, does this mean there would be another follow-up study planned, I ask because I'm wondering if you envision having to do something that resembles what Grail is doing in terms of scope and size for their asymptomatic multi-cancer test. So that's the first part. And I'm just wondering, if there's anything about the study design specifically that would believe -- that you believe would limit the utility of this test to China versus other global geographies.
Shaokun Chuai: Yes, this is Shannon, I can take that question. So first of all, there is a call of factor in the PREDICT design, we actually -- as we mentioned there are two phases for PREDICT. In Phase 1, it's mostly for training and validations. And then by the end of Phase 1, the model, the exit and the cut-off will all be locked. And then Phase 2 will be a blinded study, which means that all the team within Burning Rock the SA team and the analysis team they will be blinded from the identity of all the samples. And then the validation will be a blinded and independent validation. And then within that Phase 2, we do have a follow-up module, which means that for those turn out to be a healthy control, which are tested positive, we will have up to 12-months follow up on them, to for one -- to give them a second test and to see whether the specificity well improved by a second test. And then for two test out, whether there are any two positives within them. And then for three more importantly, probably is to pass on the utility of the test which means that amount of healthy controls if you are tested positive. Down the road how much effort you would need to -- should take in order to exclude either exclude the cancer probability or to -- to diagnose or to make sure that you do -- to go through the full diagnosis process for your cancer if you do have it. So that sort of mimics the DETECT-A study in some of design productive. So, the short answer is yes, there will be some follow-up module embedded in PREDICT. And then in terms of the applicability of this PREDICT results to other geographical regions, we don't really think for an early detection trial, the results would be very applicable to different ethnicity or races per se, because early detection if we expect it should be very population specific because it was linked to people's genetic or epigenetic basis and also to their particular local living habits and also house check routines etcetera. So we don't expect that to be applicable to other areas anyway. So, if we do want to -- if we do plan to expand to other places or countries we will, have to do a separate trial in that particular region anyway.
Doug Schenkel: Thanks for all that. Yes, that's great, Shannon. And then the only thing I don't think you touched on was just the size of the follow-up studies, this is too early to comment on that?
Shaokun Chuai: Right, great. Currently, our expected -- our V3 [ph] -- I'm sorry for the 6-cancer tests, we are shooting for 90, 98% specificity. So you can sort of estimate the size of the cohort. But we don't know for sure yet, so you will see -- we all will see more results when we release the 6-cancer type assay result.
Doug Schenkel: Okay, super helpful.
Shaokun Chuai: All right.
Doug Schenkel: Just pivoting to a commercial question, specific to the central lab. So if we look at Q1 and then look at the number of ordering physicians and number of hospitals that were active, you had a pretty notable drop in Q1 relative to previous quarters, which I think we all know was largely if not wholly a function of what was going on with the pandemic. If we then look at what happened in Q2, mathematically you recovered about 90% on the central lab, ordering physicians you lost in Q1 and over 70% of the ordering physicians. I'm guessing that's kind of an oversimplification, but really what I'm getting at is how much of the Q2 central lab recovery was a function of -- it's actually getting those doctors and those hospitals back versus actually moving beyond kind of same-store sales and [indiscernible] that's an actually add a first time hospitals and first time ordering physicians.
Leo Li: Yes. So I think on the last point, it is more to do with same-store, so existing physicians that we work with. And this you can look at -- actually you can look at our number of ordering physicians -- 1,175 for the second quarter. We are not back to the number we did which is 1,222. So there is still some restrictions or limits that our sales team -- limiting our sales team's capability to reach the physicians or interact with them at the way they would do prior to COVID, so that is one factor. And also looking at the physicians or the hospitals where they work, there is some capacity caps, so the hospitals are not back to 100% capacity in terms of biopsies or even in a number of visits, appointments they are able to have, and this varies by region. So in general, Eastern China has recovered better compared to Northern China and we have a nationwide business. So the pockets of weakness would have an impact on us. So if you look at the numbers here, the number of patients tested through better for the second quarter compared to the number of ordering physicians, so for the physicians that our sales team are able to reach, then interact with, and resume contact those have shown recovery, but they are physicians that were just not able to reach and still not able to resume.
Doug Schenkel: Okay, understood. Last one, a quick one, I'll direct this at you, Leo. Guidance seems to imply that you're basically assuming not a whole lot of improvement relative to the June and July revenue run rate, yes, specifically, if you take first-half revenue and add RMB40 million per month for the second half, you end up within RMB5 million to RMB6 million of your full-year revenue guidance. Assuming I'm just doing that basic math right, is this just an acknowledgment that you don't want to assume -- you don't want to assume the environment improves or deteriorate relative to trend just given the inherent uncertainty associated with the pandemic?
Leo Li: I don't think we are holding back our numbers per se. I do think that there are uncertainties and there has been volatilities on COVID's. And if we look at the news on a more linear [ph] level and particularly for Northern China, there are outbreaks that we do see in a few cities not just one in Northern China, when those happen, the hospitals are typically more impacted by compared to other service industries. So we are I would say more sensitive to that compared to other industries in China, which have -- some of them have resumed rather well. It is with that background, I think when we think about our guidance for the second half of the year we have to -- we have to base that on what we've seen and this is what we're seeing.
Doug Schenkel: Okay, all right. Thank you for all the detail, really appreciate it.
Leo Li: Thanks, Doug.
Operator: Thank you. Our next question comes from the line of Sean Wu from Morgan Stanley. Please go ahead.
Sean Wu: Hello. Thank you very much for taking my question and congratulations on the deal, Yusheng and Shaokun Chuai [ph], very good results in the face of COVID-19 problem. So I have some questions, maybe you can help address it as well. Basically, your bread and butter is basically unique, you do both tissue samples and essentially liquid biopsies, unlike kind of Cardington [ph] in the US, purely focusing on liquid-biopsy. So people would wonder whether advantage or disadvantage when both going on. And also Genetron reported pretty good results for the first half, and then they employ another different business model, that they held with NGS and also held long adjusted mouse-testing stuff [ph]. It appears there are [indiscernible]. So what do you compare your business model with theirs? And also you mentioned already about you taking, kind of, market shares -- your market share is kind of increasing, can you tell us about the overall market share both for the central lab and also for the in-hospital segment for the first half or for the second quarter, if you have numbers that can help the investors. Thank you very much.
Yusheng Han: Well, I think that in terms of the different technology platform, I would say that Burning Rock now focus on more about the NGS platform because we think that it is the future. And we didn't pursue the COVID testing opportunity like three months ago because we think that there was very low entry barriers in terms of the technology and we have witness that any technology without entry barrier in the long run will go into adjusted competition. So, we didn't pursue that -- that opportunity. And I don't think we should be able to comment on the -- our peers' financial report. And in terms of the technology platform, if you mentioned some TCR platform for brain tumor, yes, I think Genetron does have that, part we don't know what number that is. So I don't think it is suitable for us to comment on that. And in terms of the market share, since we don't know too much information about the -- how the other players are exactly doing, well if look at the Oncology market for solid tumor, I would say that from our perception, our position in the market is still very strong and assessing that I can answer. Any additional comments, Shannon or Leo?
Shaokun Chuai: According, yes, according to the tissue versus liquid platforms, we do think being able to do both tissue and liquid thus give us quite a bit advantage, both in terms of the technology development and also the commercial -- commercialization channel. So being able to do and to collect those tissue and prepare samples actually gives us opportunity to test on the two positive and epigenetics [ph] on the liquid-based technologies. So it gives us more data to play with, to refine our SA and algorithm for the liquid testing. And also in China actually the consensus among the doctors are for first-line patient, tissue is still the main central source and the gold standard in terms of the therapy -- therapist action test. So doctors would prefer to do tissue based testing at baseline or at the first-line treatment naive patients. However, more and more doctors are adopting the concept that liquid-biopsy does have advantage at the later lines of treatment. So, being able to do both tissue and liquid we give the doctors the choice to choose whichever sample they feel most comfortable with and that also help us to cover all their needs no matter what they live in. So I think they have been able to do both does give us some advantage.
Sean Wu: Okay, great. Thank you so very much.
Operator: Thank you. [Operator Instructions] Our next question comes from Jayaraj [ph] from Bank of America. Please ask your question.
Unidentified Analyst: Yes, hi. Sorry, guys, I joined the call bit late, but just on the magnus BR, have we commented on when the approval is expected from the NNPA?
Yusheng Han: Shannon?
Shaokun Chuai: I'm sorry, I didn't catch the question, I know it's about magnus BR, but what exactly are you asking if you mind?
Unidentified Analyst: Yes. Just asking when is the approval expected from the China regulator?
Shaokun Chuai: Thank you. So we already had the type 1 approval from the NNPA, we already got that and actually it just happened in July for our magnus BR. We didn't mention that in particular in the slide deck is because that we are now working on the type 2 registration, which we think would be the key and also will be -- able to help us differentiate that may seem even more, even better. So, we're focusing on type 2 registration now which we expect to get it sometime next year. We don't have a specific quarter or a more specific date for the prediction of registrations yet.
Unidentified Analyst: Right, that's helpful. And on the PREDICT study, just remind us what are the endpoints of the PREDICT phase 1?
Shaokun Chuai: The endpoint would be the sensitivity and the specificity, as well as the tissue of origin accuracy. So those three statistics would be our endpoints.
Yusheng Han: [Indiscernible].
Unidentified Analyst: When you look -- sorry, go ahead.
Yusheng Han: Yes, I just wanted to mention -- remind Shannon that you are asking the phase 1 endpoint.
Shaokun Chuai: Great. Yes, that is for phase 1.
Unidentified Analyst: So, when you actually validate the technology using these two criteria, you are looking at certain, I mean, benchmark endpoints that it should cross this level of specificity and sensitivity to take it as a positive trial, is that correct?
Shaokun Chuai: Right. So from the classical design for a trial you should be able to -- you should do that, however for early detection trial because there isn't anything to compare too. So what you see so nowadays are doing is that they design the trial large enough so that they have precise enough or estimate on the sensitivity and specificity, but don't have a particular bar they -- for that to cross, so that they can claim a positive or negative result. So that is what we are doing with PREDICT as well, but I think down the road you know once the first special [ph] product is on the market and then the -- for the next generation of products -- people will have something to have to compare with and then design will follow in the more classical design in the future.
Unidentified Analyst: Right. And then, last one was on the contracted and pipeline hospitals, I mean, assuming that your guidance of course says that you have not factored COVID return, would they pick up in terms of pipeline and contracted hospitals increase materially because if you look at your previous growth rate was higher and this year of course that addition of new hospitals has kind of seen an impact, but where do you see this number going by end of the year?
Leo Li: Yes, so in terms of guidance we have guidance for our overall top line, we don't have specific guidance or breakdown by channel. But qualitatively speaking, when we look at in-hospital channel, it is driven by both new hospitals getting signed on, getting into the contracted status and also existing hospitals ramping up their volume. So if you look at the first factor, we've been able to add five new contracted hospitals in the first half of the year compared to seven for the full year of 2019. So that's what we've been able to achieve for the first half of the year. And if you look at existing hospital ramp-ups, we have seen better ramp-up for Eastern China, but weak number for Northern China, so that's the qualitative trend.
Unidentified Analyst: Thank you so much.
Yusheng Han: Thanks.
Operator: Thank you. Our next question comes from the line of Derek Woo [ph] from Nomura. Please ask your question.
Unidentified Analyst: Thanks for the presentation and congratulations on the good result. So on behalf of Astra Wang [ph] from Nomura, I have one question about our prospective study, which launched in May this year, excuse me. So, may I know the average R&D expense for each enrolled patient in this study. So maybe we can have a breakdown of patient recruitment, expenditure, testing fee and payment to doctors. So, could you please tell us some detail about this expense? Thanks.
Leo Li: Sure. I'd like to take a step back and provide the overall expense for the PREDICT program that we expect to be around USD30 million. We don't actually provide specific breakdowns by component for that number, so that's what we foresee for PREDICT and taking a further step back now would imply that given our current burn rate power to the start of the PREDICT study and with PREDICT, we are able to fund ourselves for the next three years or so given our current cash balance after the IPO.
Unidentified Analyst: Okay, thanks for the answer.
Leo Li: Thank you, Derek.
Operator: Thank you. [Operator Instructions] Thank you. As there are no further questions, that does conclude our conference for today. Thank you for participating. You may all disconnect.